Operator: Good day, ladies and gentlemen and welcome to the Nanophase Technologies Corporation First Quarter 2015 Financial Conference Call. At this time, all participants are in a listen-only mode. Later, will be a question-and-answer session and instructions will follow at that time. [Operator Instructions] As a reminder, this call is being recorded. The words expect, anticipate, plans, forecast and similar expressions are intended to identify forward-looking statements. Statements contained in this news release that are not historical facts are forward-looking statements that are made pursuant to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. These statements reflect the company's current beliefs and a number of important factors could cause actual results for future periods to differ materially from those expected in this news release. These important factors include, without limitation, a decision of the customer to cancel a purchase order or supply agreement, demand for and acceptance of the company's nanocrystalline materials, changes in development and distribution relationships, the impact of competitive products and technologies, possible disruption in commercial activities occasioned by terrorist activity and armed conflict and other risks indicated in the company's filings with the Securities and Exchange Commission. Nanophase undertakes no obligation to update or revise these forward-looking statements to reflect new events or uncertainties. I would now like to introduce your host President and CEO, Mr. Jess Jankowski. Sir, please go ahead.
Jess Jankowski : Thank you, Valerie. Good morning everybody. We're glad you are able to join us to discuss our outlook for this year beginning with our first quarter 2015 financial updates. Frank Cesario, our CFO as joined me again today. During this call, we'll be talking about the outlook for our four major growth initiatives, as well as updating you on our existing business and of course 2015 first quarter results. As we discussed two months ago, I see our progress moving now phase from doing the heavy lifting behind the scenes that’s always required to develop business in our growth areas to a place where we expect to see tangible commercial results. We expect to see these in the form of significant revenue from new resources beginning this year. 2014 results shows slight improvement over 2013 and we expect the bigger improvement during 2015. Top-line, bottom-line, cash flow, new business, we expect growth in all of these areas. We continue toward achieving our top goals of first building a sustainable business than an exciting one. Of course, we’re still subject to the typical drawn out times to market companies like Nanophase experienced in advance materials application. Fortunately we’re seeing plenty of positive movement. As we discussed last time, I also believe that path from sustainable to exciting will be much shorter than the journey from struggling to a sustainable has been. I can see the path directly in front of us that significant revenue growth which I believe offers the potential of increased equity value for Nanophase, for all of us, that’s when it starts to get good. To get there we do need a ride out some fluctuations in the business particularly in personal care. That is our top business today and it seems the most fluctuation this year which certainly impacted our first quarter financials. After Frank provides a short overview of our financial results, I’ll talk about all of our key business development initiatives in 2015 and 2016. These are focused on a four main area; personal care technology, surface finishing technologies and energy technologies, including energy storage and solar control. With that, I’ll hand things over to Frank.
Frank Cesario: Thanks, Jess. Good morning. This is Frank Cesario. Before I begin today's overview of our financial results for the first quarter and full year so far 2015, please remember that all financial results are stated in approximate terms. Revenue for the first quarter of 2015 is 2.3 million, with a gross margin of 24% and net loss for the quarter of 0.6 million or $0.02 per share. During the first quarter of 2014, revenue was 2.6 million, gross margin 27%, net loss for the quarter 0.4 million, also $0.02 per share. We ended the first quarter 2015 with $1.2 million cash position and no debt. Many of you are aware that we have a $1 million cash covenant related to the exclusive supply relationship with our largest customer that we disclosed in more detail in our SEC filings. It remains our intention not to raise permanent capital opting instead for implementing and utilizing temporary borrowing vehicles on an as needed basis. The credit line facility that was announced was one example of the strategy. Things could certainly change at any time when we may concluded [indiscernible] small amount of additional capital, but this the way that our company approach 2015, it remains so today. Again should we see conditional capital, we do not expect that it would be a significant amount. Jess?
Jess Jankowski: Thanks, Frank. While the financial results were impacted by the fluctuations in our personal care business, we continue to move forward in other areas in Q1. I like to key in now on our main business development initiatives. These are our top focus as we continue to build Nanophase to achieve the highest sustainable value possible, again these are personal care, surface finishing, energy technologies which includes energy storage of batteries and solar control. We expect revenue from these areas to make a meaningful difference beginning this year. In personal care which is composed largely of our active ingredients for inorganic sunscreens we're coming off of another record year in terms of 2014 being occupied volume. Notwithstanding quarter-to-quarter fluctuations we expect this to remain a solid business for us. Dermatologists have long preferred zinc oxide as a full spectrum UD blocker and movement in consumer preferences help them this area. In addition to existing demand which is primarily based in the U.S. regulatory changes in the EU are in the pipeline which should represent opportunities for growth and new applications there. We expect this market to continue to be a good one for Nanophase this is clearly the most mature of our current initiatives and while being a strong P&L driver for us, personal care is now what we're relying on to drag the bulk of our 2015 and 2016 growth. Personal care has also caused us the most difficulty so far this year is forecast of change until the shipments during Q1 were down from prior years. The upside is a reminder of why we need to add new revenue streams to buffer any negative fluctuations and personal care volume specifically from our largest customer. We also expect to launch new solutions developed by Nanophase in this area they will be taken to the market later during 2015 will have more on these to come in future discussion. In terms of the newest surest new term growth that remains in the surface finishing market. This area is different from any other markets that Nanophase is currently developing. Surface finishing differs in the sense that were deep in the applications testing prior to our approaching customers and we've develop the expertise to help those new customers maximize the benefits of using auxiliary. Remember that our bio care is typically and engineer in the actual end user of our products. This gives us a greater ability to influence the results its market that includes many medium size companies that may each ultimately buy lower lowest fixed amount of our policy auxiliary. To reach these customers we have to do more technical support and we have to continue to develop greater applications data to support the selling process than we do have in our markets. This is why we invested in our policy mid last year. [Indiscernible] makes us a performance driven sale which matches our technology focus culture very well. We continue to build on our to our technical and developmental knowhow which we believe is world class. We also now have the proper metrology and the proper applications level production equipment to allow us to pursue this business aggressively and with credibility. Our 2014 surface finishing revenue approached double the 2013 volume in the mid six figure range for 2015 we expect our surface finishing volume to more than double 2014 levels with upside potential beyond that and we already have more orders for this year then for all of 2014. Of the four key areas we're focusing our business development effort size we expect this market surface finishing to have the greatest impact at 2015 growth beginning later this quarter. Our two new energy technologies have a time to market which puts them in the near to midterm commercialization group a little further out than our surface finishing activity. We're moving forward in both the energy and storage application which refers to batteries and in the solar control area which refers to several applications and with improving energy conservation. For the battery work there in 2014 we saw multiple large battery manufactures duplicate the results we use to validate our value preposition with entities actually manufacturing their batteries on a small scale production basis with our materials being incorporated to test the value preposition further. Although we originally expected some battery business to materialize in late 2014, we now look for the commercialization phase to begin with more than one customer during 2015 to be followed by more significant revenue volume in 2016. As I mentioned last time generally were further along in the battery application and we are in forward control, based on test results and market feedback in both areas we see opportunity for very large profitable volume across our energy portfolio. Specifically we've engaged some of the largest players in the industry along with some smaller players and believe we offer a significant value preposition with both applications in their respective market. As a matter of fact we enjoyed our first commercial revenue shipment of energy materials during April. While modest in terms of dollars it's worth noting as it represents a change of business development standard development standards from developmental to commercial scale up this shipment was if materials for silver control that represent a first commercial production run. Ultimately this customer may purchase low to mid six figure volumes from now but that's dependent upon consumer acceptance and demand of the final product, we'll have more to share about this opportunity next quarter. Given the proximity of this call for a year end call I don't really have much more to cover today although most of our investors listen to the webcast or view the transcript after the live call we'd like to invite those participating in today's calls to ask any question you may have or to share your comments. Mallory would you please begin the Q&A session?
Operator: Yes, sir. Ladies and gentlemen. [Operator Instructions] And our first question comes from the line of Randy Kay with RKA. Your line is open. Please go ahead.
Randy Kay: Good. I wonder if you could do me a favor and just provide a little bit of color into the situation regarding the healthcare product business, did the lower volumes primarily come from the fact that there has been a migration to a newer technology that people seems to like and are we trying to now get into that market or what specifically do you attribute the lack of volume in the healthcare product?
Jess Jankowski: You're referring to the personal care market which is…
Randy Kay: Yes, the personal care, right.
Jess Jankowski: Couple of things need to be considered, one thing is that frequently this has to do with truckloads of material moving across timeframe. So it's difficult to tell whether anything represents a trend. We saw some changes in the volume growth since the last year which was a record year, I mean 2013 was a record year, then 2014 exceeded it and now we’ve got 2015 where we had a first quarter with some shift. It's not our sense that there is any diminishing of the value of zinc oxide as a UV blocker in the marketplace. The market continues to grow for zinc oxide, it's a question of how much of the market-share we capture which we’re not exactly clear on at this moment, I think the -- and some of this also has to do with just movement of inventory within the customer which is not transparent to us. So, I can’t give you a great answer Ran, because I am not -- will be out there at the -- we’re always out at the Cosmetic Show in May and will be circling around with not only our largest customer, but also the industry as a whole in a fairly aggressive manner in several weeks and I should know more. At this point, I don’t think this has to do with any kind of fundamental shift in the market relative to our product, I think it's more on the customer side potentially either moving inventory or trying to maybe they built them up, maybe they are trying to slim it down, it's difficult to tell and we don’t get a lot of that information on a direct basis. So some of that has to do with our side relative to their side, this United States gets a call, Brazil and the hospital kind of thing, it's just hard to know. But we’ve seen no indications looking at the market and we do a lot of outreach on our own in this market including that I mentioned we’re working on a new application that we developed ourselves. We do a lot of outreach into the market and we’re not seeing anything like the subsiding demand for zinc oxide.
Randy Kay: Do you see -- are you cautionarily evaluating lowering the forecast for that particular product one?
Jess Jankowski: Yes, we have to, I mean we’re looking at it -- I mean there is no secret that customer is over 60% of our volume. So, if they go down by 10% it's going to impact our top-line. Our goal year-over-year was to have greater than incremental increases in volume with new business being our highest target and this basically gives us some headwind potentially if it plays out. Now normally in that business the second quarter, first and second quarter are bigger than the third and fourth quarter, but we’ve had anomalous years overtime and it's still difficult to understand exactly what’s going to be, we’re trying to get more color on it. In any event we'll whether the storm but it's a question of headwinds we surely don’t need at this point in the company’s development if that ends up being the case.
Randy Kay: Well then, I mean the question then subsequently goes to and I don’t want to monopolize the time here, but do you see the other products in your forecast making up the deficit or is it just too early to say?
Frank Cesario: This is Frank, let me just take a shot at that for this year for 2015, you're talking about a two-thirds of last year’s volume customer, it's too big enough. Going forward, this is exactly why we’re developing a new revenue stream.
Jess Jankowski: So it depends what you're referring to, Frank is talking about; we’ve got a target that we have to share with the public that exceeds our last year significantly. So if your question Rand is, can we even equal last year’s volume if this goes down. I think sure we can and we can do that with new business filling in behalf, essentially we’re looking for growth in our surface finishing area with polishing, we’re looking to more than double again this year if we can and the new energy areas will have some growth. We might even have a little bit of growth in personal care outside of the zinc oxide business, we’ll talk more about that in Q2 as things mature. So, what I can say and I think what Frank was saying and part of it is we have an internal code, we don’t share our forecast because as you all know this is pretty variable stuff is that, this is isn’t something like a torpedo [indiscernible] the company as much it is frustrating that we’ve got some nice tailwinds in our new business development areas, the rest of our business outside of personal care is going along just fine right now. And the personal care business is little bit of an unknown, it's not an absolute unknown all these customers downstream take quite a bit of time to put new products in and then to do the validation testing, it takes a number of months, like 18 months to get so what we haven't seen is a fundamental shift in the market away from zinc oxide, what we've seen is the global, both in the U.S. and internationally the zinc oxide market growing along with titanium dioxide growing as inorganic sunscreens and we're trying to just at this point understand better -- what this is going to be in Nanophase and in the near term.
Randy Kay: The [indiscernible] I'm alluding to the fact that if the zinc oxide is the cash cove for the company, the Bern now seems to be accelerating at a rate where it look pretty good for you guys to break even with existing cash. Another $600,000 core to that now becomes clearly -- an area of concern.
Frank Cesario: There is one -- if you think broad of cash, let me give little more detail here. For last couple of years, the first quarter has always had the strong working capital and this year was not quite as rough as 2014 but nonetheless we have it. So if you look at in a growth and account receivable went up by $900,000 in the quarter that's a huge use of cash. Now granted we offset a bunch of that with accounts payable inventory reduction nonetheless working capital was a significant consumption of cash and we planned for that. So we're ready for that the happened but your points are all taken something that we focus on daily. At some point if you ever think -- we're not going to hit cash flow of what we've got, we will put in more short-term vehicles to get us there, if we don't think that will do it and we'll take that up and we'll do -- what we think we've to do it again there. But we're not doing this any in a trivial fashion. We're approaching this very deliberately because frankly we walk into this year saying around the plan, I'm telling you now; we have a lot in good things going at this company. So, we are focused on get to that success.
Jess Jankowski: I'll add that our last choice going forward is any kind of dilution. So, there is -- we're always more interested in financing and doing whatever we have to bridge the gap than we're [indiscernible] package and look at our -- the rates offering which we did a few years ago and I don't look at that as anything other than something we had to do. It certainly diluted a lot of people, we didn't like it internally we know our shareholders didn’t like it. Our board didn't like it, which just something that was necessary, I don't know that we'll have to do that again and the global is to avoid it off but just because -- why we're all here is to build the equity value of the company.
Operator: Thank you and our next question comes from the line of James Liberman with Wells Fargo Advisors. Your line is open. Please go ahead.
James Liberman: I wonder if you could give a little bit more color on some of these things you focus on already, the -- new product and personal care, can you give any idea of what that might be and how that might come to market so that it be successful?
Jess Jankowski: I really want to way than that, we basically -- we've got a few things going on -- we've also got some potential IP there but I expect to have mortgage share in Q2, I don't think that it will have a significant impact on 2015 revenue as much as it will build to 2016 revenue. It also will represent a new type of product for Nanophase that we haven't brought to market before -- and I think beyond that, got a combination of my own prudence and confidentiality where I've got a key some -- out of the open discussion but I'll say James that it something we haven't done before, it something new and it's something we think that will build value in the company relatively quickly not just in terms of revenue but in terms of we think, we got a technology that is going to something that we can really exploit effectively going forward. [Indiscernible] ask question about the energy as well.
James Liberman: It's just that there, I could see where there could be quite bit of excitement around your new product in the personal care area but I understand you can't say much -- however, I like the fact that you are developing and thinking about a lot of things down the road that could happen positively and yes, I'm interested in the energy areas, is there anything you can add to that?
Jess Jankowski: Sure. That's an area where we've been working with several customers; this is the solar control area. Our first commercial shipment -- this month actually earlier in April and we're expecting that to be in product and to get rolled out to an extent at least in Q2 or early Q3 now. What's nice about this the blessing in disguise is going to be I think, we'll get a fairly quick resolution on trajectory because it's a medium size company with the lot of great potential in the market, this could be just low to mid six figure customer, if it is, it will probably be there next year. If it's not, it's not, depending on the demand and the reception in their product. The other thing about this technology, more so than the battery technology is that we believe what we're bringing to the table is the enabler, definitely the entire enabler. On the battery side we've got something that makes the can more efficient that will allow slightly more power to be generated over a longer period of time it's a good value proposition has been validated and this one we think that there will be people that are able to reach performance that they can't get anywhere else using our materials and that's always a better place to be as you know Jim and you get the stars to prove it he's been here with us a long time we had many products over the years that are better than was out there but they are not better enough to get somebody to make a switch and where we usually have the strongest impact is where somebody can't achieve what they are trying to achieve without using our materials and I think this is something that solar control value preposition represents more clearly than the battery preposition although I still had confidence that we have a solution on the battery side that's going to be positive.
James Liberman: That's great. Again that all sounds very much more exciting and going forward than I've heard in the long time coming from you and I wonder also on the surface finishing area as well can you give a boarder range of the types of area I know there are lenses that could be used for camera lenses and all but can you give some of the other broad applications for that.
Jess Jankowski: Sure. It ranges from what we've call fine polishing which could be -- or actually precision polishing which would be something like a lens or a laser where any sort of the conclusion or any outs of lens creates problems and then the customers have a what's referred to as a sub [indiscernible] surface meaning it has to be less than [indiscernible] which -- those standards lend themselves well to our smaller materials now we are also marketing large end materials and we're going into areas that involve optic that that involves lenses that are a lot of critical that's they are laser lens including somebody's protons through can't have any issues with the laser lens those would be in cameras, those would be through a lesser extent in military applications but there are lot of production equipment things that are making who you are going to shoot integrated circuits, wafers and the things like that all the way up were also I think a way to look at it differently than nearly the precision on the polishing relative to a piece of glass there are bunch of different materials that people polish that are there are a lot of silica based glasses that are non-silica base glasses there are things like sapphire and germanium and lots of other materials and there are some very hard plastics that also going through this area and what we're trying to do we spend a lot of time building know how material and as we started way back with the [Indiscernible] business and we got into some of the fine precision polishing which led us to believe there were more to do here. We're using some of the technology we developed under our broader kind of the platform to go after our broader market and we're finding that these markets are after certain things they are after surface quality, they are after removal rate, they are after longevity of the and the system and we have a bunch of different levers we can pull their which we are now actively pulling as we are getting closer into those markets so I it's going to be to say a camera lens there is just too many variations of that ranging from the satellite they can take a picture of a license plate from space to a handheld where staff lighter lens that might be on a might be on a cell phone or something else we're going after a lot of that. Generally they are not massive applications a good very big application for single application there would prior to be a quarter half million dollars -- Yes. The other thing I think that you are [expensing] I tried to empower it without get accused of [indiscernible] all the time because people say as a company you are not generating results which just sounds like you are pretty confident about what you can do. I think that we have induced the company with a degree of an entrepreneurial sprit than is at an all-time high and we're going after some of these things. I mean we go after subsets hard all the time; we go after things that are a little bit of a stretch all the time. Kevin [indiscernible] has helped to enable a lot of that thinking it's through our R&D group, our engineering group we've spend probably the last year really knocking down flatting the organization involving everybody at business development which is really accretive some benefits for the company we've got people throughout the organization pitching in brain power and ideas and we've seen some of them translate into marketable technologies for different types of markets which is a plus it sounds -- I don't want to expand on it because obviously my results haven’t shown yet on the top which is all what we all care about. I will say that this is an entrepreneurial company that’s really going after a lot of these markets and prior to that as Frank mentioned about Permian capital versus the dead capital part of that is been comfortable knowing that we're running tight we managed the research as we leverage them well we've got -- I don’t know we got 43 employees now 45 employees and we have an all-time solid pipeline that we've had we got to focus in some markets that's solid and we getting good feedback and I think we're doing all the right things and it's a matter of time by going into the year, I plan for that time to be this year. It's quite possible we have the slip with the personal care and it goes back and forth as a pendulum swing and we don't quite hit the cash flow or not but I would note that -- analysing our results we are really operating efficiently and we continue to do so, so to the greater success we can and we've got a lot energy.
Operator: Thank you. [Operator Instructions] Our next question comes from the line of [Ron] who's a Private Investor. Your line is open. Please go ahead.
Unidentified Analyst: Thank you for taking my question. I have several and hopefully I am not beating too many dead horses here but the extension of your sunscreen product into a new areas, is that a retail initiative or the development of materials for wholesale applications?
Jess Jankowski: It would be a development of materials for a wholesale application and it's materials outside of our normal scope of material -- I can't get into much more than but I'd it will not with the retail application and we expect it to be as we get success there which we are hoping to have this year, we expect to continue expand on it. I'm hoping that I'm in a position to share more of it in the second quarter call and part of that is just they have MDAs with everybody -- we can -- and I'm talking around in a circle which is always frustrating for you and it's difficult for me but not a retail application.
Unidentified Analyst: Okay and to the personal care products, the reduction of sales in the first quarter from your earlier comment -- the impression I was left with is that it's potentially more than a timing issue of simply sales sliding from the first quarter into the second quarter, is that true?
Jess Jankowski: It is potentially more than that, we don't know though. What it was really more accurate, I mean if you look at the history, I don't have it in front of me but if you look at the history with that and it's really that customer in particular, the quarter-to-quarter shift has been pretty big and -- we've gone in 2009, it was down rapidly and then it's sprung back up in 2010 and it's continue to grow since that point. I think part of it is the difficulty coming up with accurate forecast, part of it is our customer is not sharing enough information with us but I also know in fairness to them that their customers are not sharing information with them as its all of a sudden may put up an order or not explain it. So, I don't know, what the answer is to that question really as you know that I don't have a reason to believe today that there is going to be a material change in that business but I also can't say for sure that this is merely moving volume from Q1 to Q2. We're into one month of Q2, right now and we typically don't have that much visibility, that’s something that I would say has change a little bit our visibility isn’t as good as it was say last year -- this Q1 movement caught us a little bit off guard.
Unidentified Analyst: Okay. I obviously heard your earlier comments about cash management, [and desired] your short-term funding over equity but can you be more specific about your plans for cash management during the remainder of the year?
Frank Cesario: Well, sure. I'll take the first crack, its Frank, it obviously depends on what sales are for the upcoming quarter and [in collection within] what we're spending on but I'll just say what do we do? We saw the need to have some sort of flexibility in short-term so we created a $300,000 working capital line with our bank Wintrust, so that exists. I expect me to be putting in more facilities to deal with short-term need and use them as we need them, for the foreseeable future. It something changes our mind and says you know what you're really happy to go out get $1 million so be it, you go that. And then you talk about what the right vehicle is for a fit, as Jess said, it is our intention to best leverage every asset in this company that's cash, those are production assets, that's IP and now it's based it's everything that we have. So our point to our investors is, we are not looking to reload with some massive infusion of capital because we have these grandiose ideas three years from now, we're looking to increment into making money. That is the monitor of this mantra of this company and it’s the mantra today, so we'll have the vehicles that we need or at least we'll pursue them on a as we need them basis
Jess Jankowski: And to overlay that we have more aggressively pursued them because of the covenant we have with our largest customer and part of it, if you look at the size of this company -- we're a $10 million company, essentially you wouldn't keep that much liquid cash available at all times, in addition to whatever else you need to run the business in the working capital sense, we're required to do that. So, in some ways, while it makes people nervous and I get, a lot of people would love to have $10 million in the bank to not have to split it, essentially we are operating at a level that we have been operating a level we can't access cash because of the covenants we have. But still the reaction that we had to it and the things that we’ve put in place and Frank’s working on and we’ve got some other competitive things that look very solid are as much that avoid tripping the switch on the covenant than they are to actually and worry about keeping the company rolling. Work for flexibility of assay than we do on the covenant side.
Unidentified Analyst: Can you give us any idea of what the contribution margin is likely to be from the polishing and the energy applications remainder of this year?
Jess Jankowski: Hard to say, it will be higher. I mean those areas typically would have a higher contribution in the personal care products to the largest customer and that’s mainly because we’re going to customer who are selling to downstream customers; we’re then incorporating material on a partner basis. Generally, just about everything we have is over a 50% variable margin. That’s what we’re shooting for in a minimum, sometimes we go over a little bit under that in order to pick up volume where we can. But the energy applications and the surface finishing applications should be better than that. Particularly in the surface finishing that the energies would be even higher than that depending on where it goes. It's more specialized, will sell smaller quantities of materials in those markets at higher prices because the degree of value was higher, also the degree of complexity of making these materials becomes higher and higher. I mean in my perfect world, we would sell small quantities of very expensive materials to a broad array of markets that hasn’t happened yet and it's not prudent to run the business that way right now. But that, ideally that’s where we’d like to go because it gives you a lot more control and you become much more major enabler for all of your customers. This is really where we need to be.
Unidentified Analyst: Are you willing to make any total dollar projections of those margins for the remainder of the year?
Jess Jankowski: I am not. I still think we’re going to exceed, we’re going to have growth year-over-year; our new business is going to grow year-over-year. The energy applications we’re all expecting to come in later in the year just the way their market is building and policy really would be the big driver going forward. They are good businesses, but as we go, part of it also is -- as we get bigger customers, bigger chunks of the market, we’ll have to disclose more information, as we do that, we will. It’s this advantageous to us a degree as it slows some of these things because we’re out there negotiating over pricing and everything else with our customers on a negative basis. And I would rather everybody think that we’re making a penny at everything we sold them and it's amazing that we can exist this way, but that’s personal thinking.
Frank Cesario: There is one element here that’s also relevant to what you brought out, which is as we said in the prepared remarks. Total revenue in both areas will obviously be higher than it has in the past. We have more orders in polishing today and we’re in April than we did all of last year. We talked about doubling or doing better than that in polishing for this year versus last. Obviously the energy products are all new. So, those are all accretive. So, we’ve certainly described and increased and not trivial increase in these areas but that’s as far as we can go; really that’s as far as we shouldn’t go at this point. We’re going to keep unfolding with these markets as we go.
Unidentified Analyst: One final question, do you have in mind what your materiality threshold is whether the disclosure of significant new orders or sales agreements?
Frank Cesario: You sound like an account.
Unidentified Analyst: No, I am just trying to get a feel for what kind of dollar level would it cause you to make the necessary disclosure?
Jess Jankowski: My answer as the account over I decide [ph] dealing with reporting issues is, it is a fact from circumstances. And so, it depends on the total dollars obviously relevant to our normal run rate; it depends on the expectation of new business. We regularly disclose new contracts, we’ve disclosed one last November and what goes in there, but what we don’t do issue press release because we sold something unless we’re in new business or there is something atypically large about it. Because frankly that’s not productive, we’re dealing with several different areas, quite a few more customers than that. And so, we want to make sure that when we announce something, it’s something you really would value and would want to receive.
Operator: And we do have one follow-up question from the line of Ran Kay with RKA. Your line is open. Please go ahead.
Ran Kay: Just one follow-up; the current percentage of business for the personal care products is what, 80%, 60%?
Frank Cesario: Last year in our filings we disclosed it’s about 70%
Ran Kay: Do you anticipate this to be the year where the other business, the other combined businesses will exceed percentage wise, the personal care business like 51-49 type of thing? Is that something that you feel could happen this year or unlikely?
Frank Cesario: Long-term, let me just give you our long-term view. Long-term what we would like is for personal care will be less than 50% and all of them to being wrote. That is the long-term goal of this company. But we don't walk into the year with a particular target thing. We hope that this area is here; we don't have segments here. We use the same equipment and business development folks to produce everything that we do. So, really that's not a metric that's meaningful for us. What we focused on is the development of new business, new markets where that is. And as Jess described, we would actually be a little bit contrary to that with launching new products in the personal care space. So, our answer is that's really not something that the company would focus on.
Ran Kay: I understand that may not be something you focused on but it is a metric that you guys do subscribe to and from a standpoint of just a better understanding…
Jess Jankowski: We subscribe -- I mean essentially anything we’re required to disclose any customer that's over 10% of our volume and what we do is we typically take that down just because fluctuations are so great. And back when we had -- at one point we had a 60, 15, 7 and 5 because the seven and five on a quarter-to-quarter basis could be kind that we disclose those four. So that's a metric we use when we're required to use and it really isn't good for us to use it. I mean that's part of the issue is, a lot of our -- I mean I keep referring to our largest customers, everybody knows who they are. And they’ve asked us not to use their name fortuitously because they don't anybody to know what we're doing. That makes it harder. I think as a business when we get to an area where surface finishing is 15, 20, some big percentage of our revenue, will say as a market this is this, this is that. It just so happens with personal care that we have one customer that is 99% of that volume today or some number pretty close to that 95 to 98. And so it just translates to the market exactly relative to the customer. As we grow, we’ll have more to that uncertainly. As Frank said the goal is not to have that not to have -- we don't want to be subject to anybody's variations to the extent we are today. And we learned that in Q1 at Wisconsin. Historically it's been a solid business that moves around quarter-to-quarter but year-over-year it’s pretty good and it's been growing.
Operator: And I'm showing no further questions at this time. I would now like to turn the call back over to Jess Jankowski for further remarks.
Jess Jankowski: Thanks Valery. In terms of the direction of the company, the quality of our pipeline and the potential commercial value of our technology, we are in a good spot. We've been doing good job of managing our assets to maximize their reach while minimizing our spending and our leverage remains good. I appreciate all of you being here and those of you who that will with and after the call as well. I'm looking forward to achieving and enjoying great returns together. Thanks again for joining us today.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This does conclude the program and you may all disconnect. Everyone have a great day.